Operator: Ladies and gentlemen, thank you for standing by. Welcome to Standard Lithium's Second Quarter 2025 Conference Call. [Operator Instructions] It is now my pleasure to turn today's call over to Daniel Rosen, Vice President of Investor Relations and Strategy for Standard Lithium. Please go ahead.
Daniel Rosen: Thank you, and welcome, everyone. I'm excited to be joining my first earnings call as part of Standard Lithium, and look forward to getting to know many of you better in the coming months. I'm joined today by David Park, our CEO and Director; Andy Robinson, President, COO and Director; Salah Gamoudi, Chief Financial Officer; and Mike Barman, Chief Development Officer. Before we begin, I would like to start with a reminder that some of the statements made during our call today, including any related to company performance, expectations and timing of projects may constitute forward-looking statements. Please note the cautionary language about forward-looking statements contained in our press release, which also applies to this call. Now I will turn the call over to David.
David Park: Thanks, Dan. I appreciate everyone for joining today. We've been working diligently alongside our joint venture partner, Equinor, to progress our lithium development projects, and we achieved multiple key milestones in the second quarter as we advance those efforts. We completed all our fieldwork required for the first phase of our Southwest Arkansas project and are steadily advancing offtake and project financing discussions ahead of a final investment decision targeted by the end of this year, as Andy will go into further shortly. In the second quarter, we had our brine production unit for Phase 1 of Southwest Arkansas, now formerly named the Reynolds unit, unanimously approved by the Arkansas Oil and Gas Commission. We also had a 2.5% royalty rate approved by the AOGC for Phase 1, establishing an important precedent for lithium development companies operating in Arkansas and encouraging economic development of the state's significant lithium resource. Additionally, our Southwest Arkansas project was selected as one of the first critical mineral production projects and the only direct lithium extraction project to be advanced under executive Order 14241 Immediate Measures to Increase American Mineral Production. This was announced by the U.S. Federal Permitting Improvement Steering Council at the recommendation of the National Energy Dominance Council. This designation ensures increased transparency, accountability and predictability in the permitting process. This prestigious distinction underscores the project's strategic importance to national security, economic prosperity and domestic energy independence. The streamlined permitting process, combined with the federal support we're receiving in the form of a $225 million grant from the DOE's Office of Manufacturing and Energy Supply Chains reinforces our project development time line and positions us well to deliver a low-cost, sustainable and domestic source of lithium critical to advance electrification and new energy technologies. We continue to focus on innovation as we seek to progress next-generation battery materials. In partnership with Telescope Innovations, we developed a new process to produce battery-quality lithium sulfide, a key raw material required for many solid-state battery chemistries. This novel low-temperature patented process provides numerous potential advantages with respect to flexibility, quality, cost and safety. Finally, we strengthened our senior management team with 2 new VP hires. We brought in Daniel Rosen as Vice President of Strategy and Investor Relations; and Tim Sobel as Vice President of Health, Safety, Social and Environment. The additions to the leadership team will strengthen our capabilities and the execution of our growth strategy as we progress towards first commercial production. To provide more detail about key project developments and deliverables ahead, I'll pass it over to Andy.
J. Andrew Robinson: Thanks, David. As mentioned, we recently concluded all the planned fieldwork for the first phase of our SWA project, and we did so on a very high note. As we completed sampling from our newest exploration well, the Lester well, where we recorded the highest lithium concentration to date from the SWA project, 616 milligrams per liter lithium in brine. This fieldwork is critical to the development of our front-end engineering design as well as our definitive feasibility study, for which we're in the final review process and expect to release results in the coming weeks. In addition to providing support for what we believe to be a highly attractive project, it will be critical for us as we look to finalize our ongoing dual track customer offtake and project financing processes. We've made significant progress in advancing these negotiations alongside an experienced financial adviser, and we expect to have more to share on both fronts ahead of our FID decision targeted by the year-end 2025. As a reminder, Phase 1 of SWA plans for 22,500 tonnes per year of battery quality lithium carbonate with the first production expected in 2028 under this FID time line. Separately, later in the third quarter, we plan to release a Maiden Inferred Resource Report on some of our East Texas properties. We believe this to be a meaningfully underappreciated part of our asset portfolio today and expect this to be the first step towards achieving more appropriate recognition of these assets. Now I'll turn it over to Salah to discuss our financial results.
Salah I. Gamoudi: Thank you, Andy. To begin, I want to clarify that all numerical financial references that I will be making are in U.S. dollars. For the second quarter ended June 30, 2025, we reported a net loss of approximately $4 million as compared to a net gain of $128.3 million during the quarter ended June 30, 2024. Net income in the quarter ended June 30, 2024, was due primarily to a $164 million gain related to the sale of a 45% interest in 2 of our project areas in Southwest Arkansas and East Texas, and the resultant deconsolidation of our subsidiaries, which held those projects as part of the closing of our JV agreement with Equinor in May of 2024. Normalizing for this onetime gain, there are a few underlying period-over-period changes, which we want to highlight as we have maintained a strong focus on cost discipline, while continuing to allocate capital to our most value-accretive projects. For the quarter, G&A declined by $4.5 million, which reflects the impact of back-office cost sharing with our joint ventures, a reduction in onetime advisory and legal-related engagements as well as strong attention to overall corporate cost management. Demo plant operations expense decreased $0.9 million period-over-period due to a reduction in test work and related activities as we have focused more attention on finalizing FEED work to support SWA in addition to cost sharing with our joint venture. Management and director fees were reduced by $0.5 million, primarily driven by cost sharing with our joint venture. Share-based compensation expense increased by $1.3 million, a reflection of our increased focus on structuring incentive plans to more closely align employee compensation with share performance and value creation. Below operating expenses on the income statement, for the quarter, we recorded a higher investment loss from joint ventures of $1.3 million versus $0.2 million in the prior period. This was a result of ongoing activities related to our Smackover Lithium JVs in addition to the joint venture only being formed for a portion of the quarter during the prior period. We also recorded a $2.5 million gain on the fair value of our contingent FID payments to be received by Standard Lithium from our joint venture partner, Equinor, should we reach a positive FID at our SWA or East Texas projects. As we continue to accomplish milestones at the projects and approach targeted FID decision dates, the value of our contingent FID payment assets have increased as reflected by the $2.5 million gain. Moving on to our balance sheet. We ended the quarter with strong cash and working capital positions of $33.8 million and $30.6 million, respectively. As referenced last quarter, the sole funding requirements by Equinor into the JVs as part of the agreement were exhausted during the second quarter. As a result, we each began making our portion of capital contributions during the quarter. Therefore, Standard Lithium made JV capital contributions of $8.3 million during the second quarter as reflected on our cash flow statement. Despite this contribution, through active cost management and disciplined cost sharing, cost recoveries through our DOE grant receipts and liquidity provided through prudent use of our ATM program, we were able to increase our cash position and improve our liquidity profile during the quarter. We believe the company has adequate access to capital to move forward its value- accretive projects and activities, while maximizing shareholder value. Now I will turn it back over to David for closing remarks.
David Park: Thanks, Salah. Our team is both excited and encouraged by the critical milestones we delivered in the second quarter, and we'll be working diligently in the second half of this year as we progress towards a final investment decision at Southwest Arkansas targeted by year-end. We look forward to keeping you updated in the coming months as we advance these efforts. We feel we have the right committed partners, strong support at both the local and federal government levels and growing momentum as we continue to push forward as a domestic champion for securing critical minerals production in the United States. There's plenty to be done, but we believe Standard Lithium is well positioned to deliver significant value to our shareholders and the communities in which we operate along the way. Thanks again for joining us today. Operator, back to you for questions.
Operator: [Operator Instructions] Your first question comes from the line of Joseph Reagor with ROTH Capital Partners.
Joseph George Reagor: Couple of items. I guess, first one was with the DOE announcement today about different avenues for people to apply for funding. Were there any of those baskets you guys feel you would be able to apply for and would apply for?
David Park: Thanks, Joe. Yes. So first, I'd say I was in D.C. last week, meeting at both DOE and the White House. We continue to have a lot of support for the DOE and what we're doing as well as from the White House. There's a lot of positive sentiment towards direct lithium extraction from Arkansas and from Texas, and they're looking to help us in multiple different ways. That said, with respect to the specific question on those projects or programs announced today, it's a little premature to comment on whether any of those are avenues for us or not. But just overall, I think we have an administration right now that is looking to find multiple paths of advancing projects like ours.
Joseph George Reagor: Okay. Fair. And then on the remaining milestone payments, can you remind us what the payout structures of those are? And would those be funds that would go into the JV or directly to you?
David Park: Sure. So the funds flow from Equinor to us is the way that works. So when we hit positive FID for Southwest Arkansas, we get a milestone payment, which we will then use to fund our portion of the share of that project. The same mechanic works for East Texas.
Joseph George Reagor: And what were the dollar numbers on each of those?
David Park: Salah, can I turn that to you?
Salah I. Gamoudi: Sure. It's $40 million for Southwest Arkansas and it's $30 million for East Texas.
Joseph George Reagor: Okay. That's helpful. And then one final thing. Going forward, what do you guys expect in the coming quarters for expenditures related to Southwest Arkansas now that you're no longer carried?
David Park: Salah?
Salah I. Gamoudi: Sure. So we haven't put out specific guidance, Joe, on this topic. But what I can tell you is that we expect that with the cash that we have on balance sheet, in addition to Equinor funding 45% of the capital expenditures at the projects, in addition to reasonable and prudent use of our ATM that we should be fully funded to meet our commitments prior to FID at Southwest Arkansas through those avenues.
Operator: And your next question comes from the line of Jeff Robertson with Water Tower Research.
Jeffrey Woolf Robertson: David, does the work you're doing with Telescope on the lithium sulfide samples, does that fit into your discussions on offtake agreements?
David Park: It doesn't fit into our current discussions with respect to Southwest Arkansas offtake agreements. It is something which presents an opportunity as we grow as a company and pursue different opportunities. Andy, I don't know if you want to highlight anything there.
J. Andrew Robinson: No. I mean, I think all I'd say really, Jeff, is that we've always tried to kind of be close to the cutting edge on technology and understand where the industry is going. We've all seen the lithium industry evolve over the last several years, and we continue to see evolvement in the types of materials that battery cell electrolyte manufacturers require. We see lithium sulfide as a potential gap. And so that's why we continue to look at some of those more forward-looking options that we have technical partners who can help us get there potentially. So it's an option for us to think about.
Jeffrey Woolf Robertson: I think I read recently that Toyota hopes to be in mass production of a solid-state battery sometime later this decade. Andy, on the well results you reported from the Lester well back in July, do those change your interpretation at all of the subsurface and how you map lithium concentration since I think that well was drilled pretty near the center of the Reynolds unit?
J. Andrew Robinson: Yes. I think really, Jeff, it showed that our previous assumptions were broadly conservative, which I think is a good place to be. It's allowed us to have additional confidence in the resource and the reserve. And the details of that are going to be coming out in the DFS later this quarter. I think we've been very -- I think, always very positively surprised by when we get into the subsurface in SWA area, particularly in the Reynolds unit. We've just seen great-looking rock with good-looking lithium brine concentrations, which support a very robust project. I think we feel fortunate that we're in a region where we get great results back when we get into the subsurface and look harder at what we have. So I think it just continues to support our central thesis that we have a very good, robust Tier 1 asset to work from in this SWA project area.
Jeffrey Woolf Robertson: I know the DFS, you said will be published soon, but can you share any color on how cost estimates with the way you envision Phase 1 today compared to some of the numbers that were in the prior PFS a couple of years back?
J. Andrew Robinson: I think I can't provide detailed color right now, Jeff. We are -- at the moment, we are undergoing -- so all the FEED work, the design work is complete. We are undergoing a third-party review of all of the CapEx and OpEx numbers to make sure that they are robust, well worked through and fully QA/QC-ed prior to releasing them. Obviously, the project looks different than we have previously released in the PFS. In the PFS, we were looking at a single phase of development. Since we published that PFS, we've looked at the resource. We found the resource to be better than we had previously assumed. And at the same time, we're looking to make a carbonate final product as opposed to hydroxide that we were looking at in the PFS. And then obviously, we're looking at it in 2 phases as well. So some differences in how some of the estimates, et cetera, are built up. I think we've been -- in general, the CapEx and OpEx is aligning with our expectations given feelers that we put out in the market over the last year or so. So I think we're going to end up with [indiscernible] number. But like I say, currently undergoing QA/QC by an external third party right now. We'll be able to get those numbers out in the public in the near term before the end of this quarter. I think we expect them to be competitive. We think this is going to be an attractive and competitive project.
Jeffrey Woolf Robertson: And lastly, Andy, with respect to East Texas, will you have any updates on sampling results? I think you all were working on in the second or third quarter before you put the Maiden Report out, or will all that information be contained in that report when you're ready to disclose it?
J. Andrew Robinson: It's likely to be sequential, Jeff. So actually, we have sufficient [indiscernible] to put the resource out. So that work is being wrapped up at the moment. And kind of as I mentioned earlier on, we expect that Maiden Resource statement to be out before the end of this quarter as well. So lots of important news coming for us. At the same time, we are going back in. We are going to be completing some additional reentry, some resampling work on the wells that we previously drilled. And then we'll be able to kind of get some of those additional news out into the market, probably later on in this year in the fourth quarter, perhaps into the first quarter of '26.
Operator: And your next question comes from the line of Noel Parks with Tuohy Brothers.
Noel Augustus Parks: Just had a couple. And I was wondering, as far as your discussions on offtake agreements, at this point, are they focusing more on structure of what an agreement would be? And -- or is pricing on the table also at this stage, just given so many dislocations we've had of pricing in the market in the last couple of years?
David Park: Sure. Let me take that. We, from day 1, have had a strategy to have a diverse portfolio made up of multiple offtakers. We are in discussions with multiple parties at this point in time. Some of those discussions more advanced than others. We are seeing that there remains plenty of demand for lithium and specifically lithium carbonate in the 2028 and beyond time frame. And I'd say that with certain parties, the focus of discussion is on structure. With other parties, the focus is on -- it is a back and forth with respect to price or pricing mechanisms. But we remain confident that we should be in a position to conclude our offtake discussions by the -- well, in the fourth quarter.
Noel Augustus Parks: Great. And to sort of continue on the topic of the success you've found with your geologic modeling, both in Southwest Arkansas and East Texas. In -- over the months, you've had a series of announcements where you found record concentrations in both regions. So just thinking about that, could you sort of characterize maybe what inning you're in, in your ability to sort of map out and pin down how to find the higher-grade brines? Is this -- are you just scratching the surface on that modeling? Or do you feel like you're pretty much there and you've got the core of what you're going to need in order to be able to identify locations out of what are some very large acreage positions you have?
David Park: Andy, why don't you take that?
J. Andrew Robinson: Yes, sure. Yes. Thanks, Noel. I mean, when it comes to Southwest Arkansas, Noel, really, the drilling work and the resource work has been about filling in our understanding within the project area. Obviously, we're looking to, frankly, fully exploit the resource position that we have. Totally, we have approximately a little over 30,000 acres in our total project area. The first project area, the Reynolds unit, that's around 20,000 acres broadly. We'll be looking to maximize the lithium production from that unit area. So the work that we've been doing there is really about just refining the production model, et cetera. And so we expect broadly future production is going to interpolate between the data points that we've got and we'll be presenting in the DFS. When we think about sort of exploration and other areas in the Smackover Formation, we started working in East Texas over 4 years ago now, Noel, and really, we've got the areas that we know we like. It's a very large area, and there's plenty of room for ourselves and our competitors to play in that. We have our criteria for what we're looking for, what we think makes a lithium brine project work from the Smackover based on our experience. And so yes, we've been focused leasing, working, drilling in the areas that we particularly like, and we're confident that we have good lithium grades in those areas. There are going to be other areas, Noel, where I'm sure some competitors will find some good-looking areas as well. But we've been focused on over the last several years, the good- looking areas for us, and that's really where our projects are focused on right now and we're looking to move those forward as quickly as we can. And I think the Maiden Resource Report coming out at the end of this quarter is going to be a useful positioning statement for us to show us just a small part of what we have. I think it should kind of reiterate that really it's just about one of the project areas that we have in East Texas. It's certainly not our entire position by any means. So it's the first one of several in East Texas that we're working on. But we think it's going to be useful to have that out there in the public domain for people to understand kind of the scale of what we're looking at and also the very high quality of what we've secured in the region as well.
Operator: [Operator Instructions] You next question comes from the line of Katie Lachapelle with Canaccord Genuity.
Katie Lachapelle: In the past, you previously indicated that you were targeting debt financing in the range of somewhere between 60% and 80% of the total capital cost for SWA. Can you provide us with any update on how your latest discussions are tracking with potential debt providers and whether you're feeling more confident around being at the lower end or the upper end of that range?
David Park: Thanks, Katie. Yes, I'd say our discussions are well underway with export credit agencies. We have support from a few, and we're in further discussions with more. We believe the guidance we provided previously is still valid. We're also in the process of sounding the commercial banks that will fill out that structure. So we feel like the project finance initiative is well underway and advancing along the time line and the plan that we laid out previously.
Katie Lachapelle: Great. And then maybe just one follow-up. Are you expecting sort of the debt financing to come alongside the offtake? Or are you expecting some offtake announcements in advance of the debt financing or being a real trigger to unlocking that?
David Park: They will come on very tight -- we're working on both in parallel. The project financing will come in place on the back of the project financing, but we're advancing both in parallel and the project finance community is up to date on our discussions with the offtake community as well. So we're working multiple streams in parallel is the best way I can answer that.
Operator: And your next question comes from the line of Daniel Magder with Raymond James.
Daniel Magder: Just going back to the offtake and debt discussions and understanding you're comfortable with the Q4 time frame. Can you discuss how the recent -- or the recent market dynamics have affected those discussions? Obviously, the CATL announcement this week, a lot of positives. Just want to understand whether these are having an effect on the discussions you're having.
David Park: Yes. I'd say that's very recent news. These discussions have been going on for a long time. I think both our offtake counterparties and ourselves are very focused on where we think pricing will be in the long term. So trying not to overreact to short-term market dynamics. But obviously, having some positive news in the markets at this point in time is somewhat constructive from our perspective.
Operator: [Operator Instructions] Your next question comes from the line of Max Yerrill with BMO Capital Markets.
Max S. Yerrill: Understanding that the fieldwork for Phase 1 is now complete, what incremental work will be required for the second phase? And how should we think about the timing of Phase 2 relative to Phase 1?
David Park: Andy, why don't you take that?
J. Andrew Robinson: Yes, sure. Yes. I mean, I think there will likely be some recommendations in the DFS, Max, to do a very small amount of additional resource definition in the northern half of the total resource area that we have to play with. So I suspect there will be some additional fieldwork. It's relatively minimal. That will happen, I would imagine, relatively soon in 2026, most likely, small kind of nonmaterial amounts of additional delineation needed outside of the Reynolds unit. Timing of Phase 2 of the SWA project, I think that's very much we're going to take a short sort of reassessment after we have finish the contracting work that's required to pick the various contractors to construct the plant after we've taken FID and then an evaluation. I think we're conceptually guiding, it's about a 2-year delay from Phase 1 to Phase 2. But there's a lot of new information, a lot of new learnings to be gathered over the next 4 to 5 months, Max. So we're going to incorporate those into that decision-making process as well.
Operator: And I'm showing no further questions at this time. Ladies and gentlemen, this now concludes today's conference call. Thank you all for joining. You may now disconnect.